Presentation:
Operator: Good morning and welcome to WiLAN’s Fourth Quarter and Fiscal Year 2015 Financial Results Conference Call. [Operator Instructions] Earlier this morning, WiLAN issued a news release announcing its financial results for the fourth quarter and fiscal year ended December 31, 2015. This news release is available on WiLAN’s website and will be filed on SEDAR and EDGAR. On this morning’s call, we have Jim Skippen, WiLAN’s President and Chief Executive Officer and Shaun McEwan, WiLAN’s Chief Financial Officer. Following prepared remarks by Mr. Skippen and Mr. McEwan, analysts will have an opportunity to ask questions. Certain matters discussed in today’s conference call or answers that maybe given to questions could constitute forward-looking statements. Actual results could differ materially from those anticipated. Risk factors that could affect results are detailed in the company’s annual information form and other public filings that are made available on SEDAR and EDGAR. During this conference call, WiLAN will refer to adjusted earnings. Adjusted earnings does not have any standardized meanings prescribed by U.S GAAP. Adjusted earnings are defined in the company’s quarterly and annually filings that are made available on SEDAR and EDGAR. Please note that all financial information provided is in U.S dollars, unless otherwise specified. I would now like to turn the meeting over to President and CEO, Jim Skippen. Please go ahead sir.
Jim Skippen: Thank you and good morning everyone. I would like to start off with some of the highlights for the quarter and the year. Driven by strong kind of license activity during the fourth quarter, we generated revenue of over $26 million, up 18% for Q4 last year. Revenues for the year grew 5% to $102.9 million third straight year of growth. Adjusted earnings for the quarter were $15.7 million or $0.13 per share. This was up 30% from Q4 last year. For the year, adjusted earnings were $59.6 million or $0.49 per share. This was up 2% from last year. We generated $10.7 million of cash from operations in the quarter, returning $4.8 million to shareholders in dividend payments. For the year, we generated $43.5 million of cash from operations returning $20.1 million to shareholders in dividend payments. Major acquisitions in the year, includes the Freescale portfolio of approximately 3,300 patents in Q4 and earlier in the year the Qimonda portfolio consisting of approximately 7,000 patents. The Board has declared a quarterly dividend of CAD$0.0125 per share. This dividend will be paid on April 6, 2016 to shareholders of record on March 22, 2016. Finally, subject to regulatory approval, the Board has authorized management to implement a normal course issuer bid to purchase the company’s stock in the open market. The buyback will give us the option to purchase up to 10% of our common shares. We thought that buyback was appropriate, because at current levels, the stock price seems disconnected from the inherent value of our company. Illustrate this point considering that the market cap of our company has been floating around the approximate $130 million range recently. When one considers that our backlog and cash alone after netting future patent payment obligations to the third-parties represents between $240 million and $270 million, we feel using some of our cash to purchase our stock represents an extremely compelling use of cash at this time. These two items, namely net backlog and cash represent approximately $2 to $2.25 per share or about CAD$2.80 to CAD$3.15 per share. This is before we attribute any value to our portfolio of over 15,000 patents and the revenue potential of those patents. Turning now to licensing, during the fourth quarter, we signed 16 license agreements. Q4 licenses signed were in the areas of image sensing for smartphones, wireless, medical technology and semiconductor packaging. Some of these were with large blue-chip companies such as Netflix, Toshiba, Kyocera and NEC. For the year in total, we signed 45 licenses. Other areas that we signed licenses in included networking, allied utilizing, irrigation control, building automation, automotive and various other semiconductor technologies. Some of the other notable names who reached agreements with were Samsung, Xerox, Nikon, [indiscernible] and Olympus. Included in our 2015 license tools were six renewals. These included renewals was Xerox, Gammatech and TrendNet, all were related to wireless technologies. Our [indiscernible] from Q4 carried on into the New Year. In 2016, we have already signed six license agreements, including agreements with Global Foundries, a large semiconductor foundry. Turning to acquisitions, in Q4, we acquired a portfolio of approximately 3,200 patents as I mentioned earlier from Freescale. This portfolio was acquired on a partnership model in which Freescale will receive the bulk of its consideration only from the successful licensing of the portfolio. We have already got in a dozens of examples of patent use from this portfolio and various companies’ products and we believe this portfolio will be a key driver of future revenues. Another key event for us in 2015 was the Q2 acquisition of Qimonda semiconductors patent portfolio or on the semiconductor patent portfolio from Insignia. Like Freescale, the Qimonda portfolio was an important acquisition due to its magnitude, quality and revenue potential. As stated in the past, generally our patent acquisitions for IT is focused on partnering with patent owners involving little or no upfront payment for the patents and assuring of any awards. This significantly reduced the cost of patent acquisition for Wi-Lan. However, in unique circumstances like the Qimonda acquisition, we may consider a larger outlay of cash to acquire portfolio. This is particularly attractive with Qimonda portfolio because Samsung took a significant license to the portfolio immediately after we acquired it. Global Foundries also recently took the license of this portfolio as I mentioned. Also of note in 2015 with the acquisition of a microscopy-related IP portfolio used to produce enhanced images as was acquired from top research institution and was announced in Q2. This IT has potential applications in life sciences, material sciences and semiconductor research among others. We have already signed several licenses related to this portfolio. In total, we signed 11 new partner agreements to acquire new portfolio since 2015. We now have more than 50 partner programs for different portfolios in several industry verticals. As we look to the future, having a large portfolio of quality patents will help drive card volumes of future licenses. Along those lines, we made great progress growing our patent portfolio in 2015. We currently have a portfolio that is more than 5x larger than it was a year ago. On the litigation front, WiLAN has 60 litigations active at this time involving more than 65 patents. I would remind investors that we intend to focus going forward on announcing licenses rather than wins or setbacks in court along the way. As with our partner’s strategy for patent acquisition, we are also following the strategy of sharing the awards with our litigation fronts. We look to minimize payments during the trial and is sharing the awards when that agreement is reached. This again has the effect of helping to keep our cost control and aligning our litigation [indiscernible] with our own. In conclusion, 2015 was a building year in the licensing and acquisition front. We made the necessary decisions operationally to strengthen the business for the long-term. In order to remain a strong player in the evolving IP market: one, focus on licensing in appropriate cases selling parts of our patent portfolio; two, we will continue to acquire new high-quality patents; three, we will broaden our deep licensing strength of our team; and four, we will prudently manage our cash flow. With that, I will now turn things over to Shaun to discuss our financial results in more detail. Shaun?
Shaun McEwan: Thank you, Jim and good morning everyone. 2015 revenue was $102.9 million representing a 5% growth over 2014. Q4 revenue at $26 million was up 18% year-over-year. As Jim mentioned, the increases were driven by the large number of license agreements signed throughout the year. At December 31, our estimated backlog position was in the range of $175 million to $205 million. Backlog consists of the value of signed licensed agreements, which have fixed periodic payments plus our estimate of revenues to be collected undersigned running royalty license agreements. We expect the majority of these revenues to be collected over the next 3 fiscal years with some license agreements extending to more than 7 years. Our 2015 cost of revenue expenses were $70.4 million or 68% of revenue as compared to $63.2 million or 64% of revenue in 2014, Q4 cost of revenue was up in dollar terms, but lower as a percentage of revenue. Due to higher level of litigation activities, our litigation expenses were $13.2 million for 2015 versus $9.9 million in 2014. These litigation expenses include any full fee or high-grade fee arrangements with litigation counsel council and any third party expenses related to our litigation. They do not include any contingent litigation fees. These are recorded in the contingent partner payments of legal fees line item within the cost of revenues. For Q4, our litigation expense was $2.1 million, well within the $2 million to $2.5 million range given on our Q3 conference call. Looking out to 2016, we expect litigation expense to be lower than our 2015 level based on our current case load. Another significant cost of revenue expense is patent maintenance, prosecution and evaluation, which was $7.7 million for fiscal 2015 and nearly $2 million for the fourth quarter. This expense is proportional to the size of our overall portfolio. And given that we acquired more than 10,000 patent applications in the last half of last year, we would expect this expense to increase significantly in 2016. To manage that, we are working aggressively to reduce any non-core patents in our portfolio and keep that expense and the expenses growth at a minimum. Finally, contingent partner payments and legal fees at $3.6 million for the year and $2.4 million in the fourth quarter alone are directly related to new agreements signed in that particular quarter. As our revenues from our licensing program continue contingent payment obligations continues to grow, we would expect an increase in this expense item as well. The net effect of the changes in these three significant expense categories is through expected slightly increase in cost of revenue expenses year-over-year starting in 2016. Due to a decrease in compensation and benefits as well as lower spending in virtually all other categories, marketing, general and administration expenses for 2015 was $7.5 million, almost 30% lower than 2014. Q4 MG&A expense was also well below the Q4 2014 level. Research and development expense was flat through 2015 at $2.4 million. As discussed on our last call, the restructuring activities, which commenced in October of 2015 resulted in the elimination of our R&D activities. Therefore for fiscal 2016, we do not expect to incur any expenses related to R&D. Regarding this Q4 restructuring, we took a charge of $1.3 million related primarily to the workforce reduction. We do not expect any further charges related to this restructuring. In addition, as part of the restructuring, we terminated certain licensing programs. This resulted in the carrying value of the patent portfolios associated with those licensing programs to become fully impaired. As a result, we reported a non-cash pretax charge for asset impairments of $1.7 million in the three months ended December 31. Looking now to the bottom line, in 2015 WiLAN reported GAAP net earnings of $10 million or $0.08 per share on both the basic and fully diluted level, compared to $9.7 million or $0.08 per share in 2014. Of note, GAAP earnings in 2015 included the $1.7 million impairment charges just mentioned and the $1.3 million restructuring charge. 2015 adjusted earnings were $59.6 million or $0.49 per share on a basic level, representing approximately 58% of revenues. Turning our attention to cash flow and our balance sheet, we generated $10.7 million in cash from operations in the fourth quarter and paid $4.8 million to shareholders in dividend payments. We made payments for patents acquired in the current and previous fiscal year in the amount of $6.8 million. For the full year of 2015, we generated $43.5 million in cash from operations. We paid $20.1 million in dividends and $56.1 million in payment for patent acquisitions made in 2015 and previous years. As a result, we ended the year with cash, cash equivalents and short-term investments on the balance sheet of $94.6 million as compared to $127.6 million at the end of 2014. As Jim mentioned, we announced our intention to implement the share buyback in 2016 subject to regulatory approval. We believe this is an appropriate use of funds for the business while shares trade near these levels. From a capital allocation perspective, we will weigh all opportunities available to the firm and see to the make investments whether it will be buyback, patent acquisition or whatever else makes that we believe provides the best potential for increasing shareholder value. Lastly, our guidance for the first quarter of 2016 is cash operating expenses are expected to be in the range of $8.5 million to $10 million, of which $1.5 million to $2 million is expected to be litigation expense. And as a reminder, this guidance does not include any contingent payments that may arise as a result of incremental revenues booked in the quarter. And I will now turn the call over to the operator for our first question.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Daniel Kim with Paradigm Capital. Please proceed with your question.
Daniel Kim:
Jim Skippen:
Daniel Kim:
Jim Skippen:
Daniel Kim:
Jim Skippen:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Jim Skippen:
Daniel Kim:
Jim Skippen:
Daniel Kim:
Operator: Thank you. Our next question comes from the line of Todd Coupland with CIBC. Please proceed with your question.
Todd Coupland:
Jim Skippen:
Todd Coupland:
Jim Skippen:
Todd Coupland:
Jim Skippen:
Todd Coupland:
Shaun McEwan:
Todd Coupland:
Jim Skippen:
Todd Coupland:
Jim Skippen:
Todd Coupland:
Jim Skippen:
Operator: Thank you. Our next question comes from the line of Doug Taylor with Canaccord. Please proceed with your question.
Doug Taylor:
Jim Skippen:
Doug Taylor:
Jim Skippen:
Doug Taylor:
Jim Skippen:
Doug Taylor:
Jim Skippen:
Doug Taylor:
Jim Skippen:
Doug Taylor:
Jim Skippen:
Doug Taylor:
Jim Skippen:
Operator: [Operator Instructions] Our next question comes from the line of Daniel Kim with Paradigm Capital. Please proceed with your question.
Daniel Kim:
Jim Skippen:
Daniel Kim:
Jim Skippen:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Shaun McEwan:
Daniel Kim:
Jim Skippen:
Daniel Kim:
Jim Skippen:
Operator: Thank you. This concludes Wi-Lan’s fourth quarter and fiscal 2015 financial results conference call. I will now turn the call back to Mr. Skippen for final remarks.
Jim Skippen: Thank you for attending Wi-Lan’s 2015 Financial Results Conference Call. Please feel – welcome to reach us if you have any questions. Goodbye.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.